Operator: Good morning, and welcome to Whirlpool Corporation's Third Quarter 2014 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Chris Conley.
Chris Conley: Thank you, and good morning. Welcome to the Whirlpool Corporation Third Quarter 2014 Conference Call. Joining me today are Jeff Fettig, our Chairman and CEO; Vice Chairman, Mike Todman and Marc Bitzer; as well as Larry Venturelli, our Chief Financial Officer. Our remarks today track with a presentation available on the Investors section of our website at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and our other periodic reports as well as on Slide 2 and in the appendix of this presentation. Also note that disclosure on the expectations and financial impacts of our acquisitions of majority interest in Indesit and Hefei Sanyo is currently limited due to the timing of the closing of these transactions. Both Hefei Sanyo and Indesit are publicly traded companies with independent reporting requirements and regulations, and it is not yet appropriate for us to fully discuss their financial or operational results. Turning to Slide 3. We want to remind you that today's presentation includes non-GAAP measures. We believe these measures are important indicators of our operations as they exclude items that may not be indicative of or are unrelated to results from our ongoing business operations. We also think the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the appendix section of our presentation beginning on Slide 37 for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that, let me turn the call over to Jeff.
Jeff M. Fettig: Good morning, everyone. As you saw in our earnings release, we delivered a good quarter -- another good quarter of results with revenue growth, margin expansion and record earnings. Our ongoing business earnings per share were up 12% year-over-year. These results were mainly driven by revenue growth, ongoing cost productivity and the benefits of our cost and capacity initiatives. We continued our investments in our brands and our products, and we're delivering a very strong cadence of new products, which will help our business in the fourth quarter and continue into next year. In addition, we are very pleased to have closed our acquisitions by acquiring a majority interest of Indesit in Europe and Hefei Sanyo in China. Both of these acquisitions represent transformational opportunities to create value for our company. Overall, we are on track to deliver record operating profit and earnings per share this year, along with strong free cash flow. And based on the momentum we've had year-to-date, we remain confident in the performance of our business, and we've created multiple opportunities to drive profitable growth and value creation. To fully communicate our comprehensive strategy for growth and review our long-term value creation opportunities, we are hosting an Investors Day meeting on December 17 in Chicago. Here, we expect to share our specific plans for both our new acquisitions as well as our overall expectations for our future business performance. Now I'll turn to Slide 6 and talk briefly about the third quarter. As you can see, our revenues were up 4% versus last year excluding currency impact, and our ongoing business earnings per share increased by 32% -- or I'm sorry, $0.32 to a record level of $3.04, up 12% versus last year. On Slide 7, we've listed an update of our regional industry demand assumptions. Overall, not a lot of change. North America continues -- we continue to expect 5%-plus growth in the U.S. market. That's about where we've run year-to-date through September. In Europe, we continue to expect the industry to be flat to up 2% for the full year as the region has spotty recovery across the different markets. We are revising downward our Latin America full year assumption to minus 4% to 5% for the full year. This really reflects the weak regional demand that we've already seen year-to-date, although we have seen some modest improvement in the last couple of months. And finally, our Asia industry forecast remains flat for the year, with China being modestly down and India up. Our business performance has put us in a very strong position, which has enabled us to both strengthen returns to shareholders via higher dividends and share repurchase and, at the same time, enabled us to invest in value-creating acquisitions. So in total, we are on track for a record year of ongoing business operating performance, and we continue -- and we're continuing to build a great global platform for future growth and value creation. With that, I'm going to turn it over to Marc Bitzer. Marc?
Marc R. Bitzer: Thanks, Jeff, and good morning, everyone. Let me begin on Slide 9 by reviewing North America's performance in the third quarter, starting with the top line. Net sales of $2.8 billion for North America were up 6.3% compared to the prior year and up 6.9% excluding currency. The consistent and disciplined execution of our actions resulted in 6 consecutive quarters of year-over-year revenue growth. Our ongoing business operating margins were at 10.9% for the quarter with a record operating profit of $304 million compared to $289 million from the third quarter of 2013. Operating margins were relatively flat in the quarter, as ongoing cost productivity and higher unit volumes were offset by the unfavorable impact of product transitions, higher material costs and unfavorable currency. Now let me take a moment to talk about our expectations for the full year 2014, as shown on Slide 10. Overall, we're pleased with our record operating profit on a year-to-date basis. U.S. appliance demand continued to strengthen in the third quarter. And while we have experienced additional monthly and quarterly fluctuations, we expect the full year industry to remain at its current year-to-date growth rate levels of up 5%. We continue to see improvements in employment and consumer confidence, which bodes well for all aspects of demand in the U.S. In addition, we expect positive net cost productivity from our ongoing programs to continue accelerating in the fourth quarter. We're excited to launch many innovative new products in almost every core business product category. In the second half of this year, we have product line transitions in top mount refrigerators, freezers, top-load laundry and dishwashers, which represent a significant portion of our overall U.S. core business. As expected and planned, these product line transitions have unfavorable short-term impacts on product mix and margins, as existing product lines were transitioned out to create space for the new product. As the new products become available to consumers who demand very innovative new features in energy efficiency, we expect revenues and margins to improve and working capital to return to more normalized levels. Turning to Slide 11. You can see an example of our product leadership in the laundry category. The revolutionary new Whirlpool Cabrio washers and dryers have a fresh design, increased capacity and intelligence that make clothing care easier than never. And we're proud to bring the newest innovation dryer technology to the U.S. market this quarter. Our new Whirlpool HybridCare clothes dryer with ventless Hybrid Heat Pump technology, an industry first in the U.S, is designed to regenerate energy during the drying cycle to reduce energy consumption while providing dryer speed and performance flexibility. I will now talk to our third quarter results for our Europe, Middle East and Africa regions, as shown on Slide 13. Sales were $785 million compared to $778 million in the prior year. Excluding currency, sales increased 1.2% year-over-year. Our cost and capacity reduction initiatives, combined with ongoing productivity programs and higher unit volumes, have offset unfavorable product price and mix and currency to deliver another quarter of expanded operating profit. Operating profit was $9 million, and operating margins improved 110 basis points. Now turning to Slide 14. While the market environment in the Eurozone remains soft, we continue to see slow recovery and expect normal seasonality for the fourth quarter. We expect positive operating profit and margin expansion, driven by continued benefits from our ongoing cost productivity programs and our previously announced restructuring initiatives. We continue to focus on our innovative new product launches and growth beyond our core. As Jeff mentioned, we were extremely pleased to close the transactions to become majority owner of Indesit. Turning to Slide 15. You can see that we have completed several of the key steps required in the acquisition process. To date, we have acquired a 60.4% stake in Indesit, which represents 66.8% of the voting stock. At this time, court approval and the European Commission's antitrust approval have been received. And in accordance with accounting law, we have filed our notice to initiate a mandatory tender offer for remainder of Indesit's outstanding shares with intention to delist the company between the fourth quarter of 2014 and the first quarter of 2015. As Chris mentioned in the beginning of this call, our disclosures are limited at this time because Indesit is currently a publicly held company and is not yet fully owned subsidiary of Whirlpool. Additionally, Indesit has not yet disclosed their third quarter financials, so any disclosure on our part would not be appropriate. For 2014, the impact of our majority interest on earnings in our ongoing business is negligible, as part of these earnings will be partially offset by purchase price accounting adjustments. And based on Indesit's historical cash flow patterns, we believe the cash flow impact in 2014 will be moderately positive. After delisting and integration, we continue to expect these transactions will be meaningful and accretive on an ongoing basis starting in 2015. We expect efficiency in R&D, capital spending and value chain costs as well as operational scale with increased volume and the ability to more effectively integrate our product platforms across a larger European market position. This acquisition represents a substantial change to our position in Europe and, combined with existing cost and capacity reduction initiatives, creates a path to earnings growth and long-term shareholder value creation that is independent of market recovery. We plan to share more details on these expected benefits during our Investor Day in December. Turning to Slide 16, you can see just one example of our innovative product development capabilities in Europe. The Bauknecht dishwasher with PowerDry 3D airflow delivers optimum drying performance with minimal energy consumption and spotless drying. And now I'd like to turn it over to Mike.
Michael A. Todman: Thanks, Marc. If you turn to Slide 18, you'll see our Latin America results. During the quarter, our Latin America region delivered record ongoing operating profit while operating in a challenging external environment due to the end of the World Cup, currency fluctuation and uncertainty around the recent government elections. Sales for the quarter were $1.1 billion. Despite industry volumes being down approximately 8%, our net sales, excluding currency and BEFIEX, increased approximately 3% compared to the previous year. We are benefiting from previously announced cost-base price increases, which have accelerated in the second half of the year; new product introductions; and improved mix in our appliance business. As we look at profit for the region, our ongoing business operating profit for the quarter totaled a record $118 million compared to $104 million in the prior year period. Improved product price and mix and new product introductions more than offset lower appliance demand and higher material cost. GAAP operating profit totaled $118 million compared to $133 million in the prior year period, which included $29 million of BEFIEX tax credits. Turning to Slide 19 for our expectations of the region. Our full year industry assumption has been revised to down 4% to 5% for the year, reflecting lower short-term, although steadily improving, demand. We continue to believe that the macroeconomic indicators in Brazil point to long-term healthy demand growth, as unemployment is at historically low levels, real wages are growing, inflation is within the target range, debt as a percent of income is primarily driven by increased investments in housing and as appliance penetration levels increase. All of these signs are positive for appliance industry growth. In fact, the third quarter became progressively stronger as Brazil's industry demand improved from down 13% in July to down 7% in September. We also expect to continue outperforming the industry and grow our revenue, given our strong market position, industry-leading brands and strong cadence of new product introduction. The effect of our recently announced cost-base price increases, along with new product introductions, improved mix and continued productivity, will continue to help offset negative currency impacts and significant levels of inflation experienced throughout the year as we continue to grow beyond our core and launch new models across all product lines with exciting innovation. Turning to Slide 20. We are highlighting growth beyond our core appliances with the first all-in-one beverage platform for our Latin American consumers, in which we deliver a completely new business model, including B.Blend as the first countertop appliance that can deliver hot, cold and carbonated beverages. And in partnership with Bevyz, B.Blend uses a capsule-squeezing system to create automatic beverage dispensing and has 24 capsule options of beverages. Now turning to our third quarter results in the Asia region, which are shown on Slide 22. And to fully understand these results, it's important to note that there are 2 very different drivers: one, our India business delivered strong results with another quarter of revenue growth and margin expansion; and two, yet we continue to experience our short-term issues in our China business related to the acquisition of Hefei Sanyo. In addition to the overall market slowdown in China, our business was significantly down. Similar to our comments in the second quarter, our trade customers continued to stock and sell well-known Hefei Sanyo-branded appliances but cut back on orders of our Whirlpool-branded products until the closure of the acquisition. These trade customers were anticipating new product lines, and as a result of our integration with Hefei Sanyo and in order to avoid excess inventory, they postponed ordering Whirlpool products. As a result, our sales declined significantly in the quarter, impacting margins and production volumes, which contributed to the 20% revenue decline and $8 million operating loss in Asia for the third quarter. Now that the acquisition is closed, we expect to return to far more positive revenue growth as we launch our new integrated product lines that leverage the combined technology of both Whirlpool and Hefei Sanyo, and we will begin launching these new products in November. With the transition issues largely behind us, we are confident that this acquisition will put us in a very strong position as we enter 2015. Turning to Slide 23. We continue to execute ongoing productivity actions and implement previously announced cost-base price increases across the region to offset inflation in currency and to execute new product launches. Lastly, we are prepared for a successful integration, as we have become the majority shareholder of Hefei Sanyo and will leverage the combined company to accelerate our growth in the emerging Chinese market. As shown on Slide 24, we have received all of the approvals and completed all of the steps required to acquire a 51% stake in Hefei Sanyo. We have acquired Hefei Sanyo's expanded distribution of over 30,000 distribution points, competitive products and significant capacity in a complementary low-cost manufacturing base. Combined with a proven management team that has consistently delivered growth and results that, on average, deliver 7% to 8% operating profit margins, we have created an outstanding platform of -- for growth in China. As we move forward with the integration process, transition costs will be behind us, and we will focus on driving sales growth and cost synergies to deliver profitable growth and reinvest in our business. At a very high level, our combined China business with this acquisition would be over $1 billion in sales, and our earnings accretion would be approximately $0.80 to $0.90 per share compared to a 2014 baseline. That accretion is based purely on the recovery of our base China sales, added together with our portion of Hefei Sanyo's 2013 operating performance. Therefore, once integrated, we expect this transaction will be meaningfully accretive to 2015 and beyond. Now I'd like to turn it over to Larry.
Larry M. Venturelli: Thanks, Mike, and good morning, everyone. Let me start on Slide 27. Our full year ongoing business EPS guidance remains in the range of $11.50 to $12, which represents a 15% to 20% improvement versus a year ago. The business is performing very well, and we continue to navigate effectively through global volatility in demand, currencies and material costs. Given the accelerated pace we have been on to close both the acquisitions, we are increasing acquisition-related costs during the fourth quarter and are adjusting GAAP guidance to a range of $9.40 to $9.90 per share. This change reflects incremental investment expenses and purchase price accounting adjustments related to the acquisitions as well as additional restructuring charges primarily related to integration activities. These charges will enable us to accelerate the benefits of the acquisition. A reconciliation of these adjustments to GAAP EPS can be found in the appendix on Slide 44. It's important to note that all changes to our original guidance have been related to upfront costs to acquire both Hefei and Indesit. Our base business continues to perform in line with our original guidance for the year. Our expectations for 2014 free cash flow of $650 million to $700 million have increased from previous guidance due to our strong underlying operating performance and expected incremental cash flow from the recently acquired companies. As I speak to the financial results on Slides 28 through 30, you'll see how we continued to expand our ongoing business operating margin in the first 9 months of this year and expect to deliver another balanced approach towards margin expansion. Year-to-date, price/mix is up by 0.5 point, and we expect to realize 0.5 point of margin for the year, driven by our previously announced cost-base price increases, innovative new product launches and growth beyond our core business. Our cost and capacity reduction initiatives contributed another 0.5 point, consistent with our full year guidance. For the first 9 months of 2014, our cost productivity more than offset material cost inflation of approximately $140 million to deliver a positive 0.25 point of margin expansion. And our cost productivity for the year is on track to more than offset approximately $150 million to $200 million of year-over-year material cost inflation and is expected to deliver a positive 0.5 point of margin for 2014. Our planned increases in marketing, technology, product investments and the impact of currency reduced margins by 0.75 point year-to-date, which is in line with the full year guidance. Given the combined impact from initially consolidating the acquisitions and required purchase accounting adjustments, we expect that acquisition margins in the near term will be slightly dilutive by about 0.5 point. More importantly, as we integrate the businesses and realize synergies, we expect the impact of both businesses to be accretive to our margins. As a result, we are expecting full year operating margins of approximately 7.5%. Excluding the impact of acquisitions, we are firmly on track with our previous guidance of 8% margins. Ongoing business operating profit for the third quarter reflects revenue growth, ongoing cost productivity and the benefits of cost and capacity reduction initiatives. Lower volumes largely attributable to demand softness in Brazil and China, higher material costs and unfavorable currency negatively impacted results. As a note, third quarter gross margins were down about 1 point versus the prior year on a GAAP basis. This drop was driven primarily by unfavorable currency and nonrecurring BEFIEX tax credits from last year. We continue to expect a strong finish to the year with our new product launches, a ramp-up in productivity and Latin America price increases taking full effect. We believe our expected operating margin improvements, combined with positive revenue growth, will enable us to deliver strong double-digit improvement in ongoing business earnings per share during the fourth quarter. As we turn to Slide 31, we have a few updates on liquidity. Our balance sheet remains strong, and our credit ratings were reaffirmed post acquisitions. We recently renegotiated and increased our credit facilities. We will fund our acquisitions with approximately $500 million in cash and $1.5 billion in debt. During 2016, we expect to return to preacquisition debt metrics. As we continue to improve margins and grow revenues, our plans to deploy the cash generated from our business are solid, as shown on Slide 32. We are funding the business for growth and significant product introductions. Earlier this year, our board increased quarterly dividends on the company's common stock and authorized a new $500 million share repurchase program. As referenced, since resuming our share repurchase program in 2013, we have repurchased approximately $375 million in stock. Finally, as previously mentioned, we are spending approximately $2 billion to fund the acquisitions of Hefei Sanyo and Indesit. In summary, given our profitable growth trends, increased investment capacity and strong balance sheet, we continue to balance funding for all aspects of our business to ensure the best long-term value creation for our shareholders. Let me take just a few minutes to walk you through our cash flow assumptions and a brief update on restructuring. We historically use cash in the first half of the year and generate cash in the second half. This year is no different. In the fourth quarter, we expect to generate cash through strong cash earnings and working capital improvements. As for restructuring, we have incurred approximately $100 million for charges year-to-date. For the full year 2014, we expect approximately $150 million of charges and $80 million of ongoing benefits. This reflects an increase of $50 million in charges from our previously -- previous guidance, largely associated with our acquisitions of majority interests in Hefei Sanyo and Indesit. We expect to update our forward view of these items and share details of our long-term value creation strategy, as Jeff mentioned, with you at our Investor Day on December 17 in Chicago. Due to the expected demand for the event, our Investor Day will be webcast for those investors and analysts who are not able to attend in person. Those webcast details will be provided in early December. Now I'll turn it back over to Jeff.
Jeff M. Fettig: Thanks, Larry. I'll turn to Slide 34, where I'll summarize our expectations for the year. Again, we delivered another quarter of revenue growth, margin expansion that resulted in record earnings. We are continuing to invest in our brands and have a very strong lineup of innovative products coming to market in the fourth quarter and into 2015, so we feel we're very well positioned to capitalize on improving global demand trends. And as I mentioned, our acquisitions provide us with a truly transformational growth opportunity to create significant value through successful integration. So overall, we remain confident in our ability to deliver a full year record year of operating performance in 2014 with our operating margins in line with our stated goal of 8%, excluding the impact of acquisitions. I would point out our 8% goal is a milestone. It's not a destination for us. And if you turn to Slide 35, this frames our comprehensive strategy for growth that we've now created, where we believe we can grow our revenues, expand our margins and create significant shareholder value. We are growing geographically through our acquisitions in Europe and China as well as expanding our emerging markets exposure in those markets where we see appliance growth opportunities and favorable demographics. Our North America region is poised for multiple years of growth through a strong replacement cycle, continued improvements in housing and improving discretionary demand. And from a product and brand perspective, we have a very strong cadence of innovative products coming to the market which will benefit customers around the world. We believe these investments will deliver both revenue growth and margin expansion. And finally, we have opportunities to fully leverage our global fixed cost structure and drive ongoing cost productivity around the world. This will ensure our competitive position and continue to help improve our margins. So we believe that these multiple paths for profitable growth, geographical expansion, brand and product innovation and cost structure improvements provide us with an outstanding opportunity to achieve our next level of performance, and in doing so, we'll deliver strong value creation for our shareholders. So we do look forward to sharing in more detail these plans at our Investor Day in December. With that, I'd like to end our formal remarks, and we'll now open it up for questions.
Operator: [Operator Instructions] We'll go first to Ken Zener with KeyBanc Capital.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: So Latin America did far better than I think most people expected, in line with kind of what you were talking about. Look, you guys talked about so much good news. I'm going to try to pick a hole in North America margins here. The lower incremental margins year-over-year, is that attributable -- I mean, the Maytag, obviously, 11%, nearly 11%, it's a very good margin, but in terms of incremental, did that have any particular drags that are related to product introductions, marketing or anything that you'd like to call out versus the longer-term 15% incremental EBIT?
Marc R. Bitzer: Okay. Ken, it's Marc Bitzer. First of all, thanks on picking on North America. But apart from that, as you highlight, first of all, 11% operating margins in a historic context, and also, when you look at our competitive results, it's nothing I'm going to apologize for. Having said that, at the same time, and we alluded in the script a little bit, I think there's always a couple of items in there in every quarter, but I think what was -- which was particular strong was the amount of product transitions. And to put that in context, product transitions are a part of our life. We typically transition, every year, about 20% to 30% of our products. If you know that in this quarter, we transitioned the entire top mount refrigerators, the entire freezers, the entire top loader line, you know this is well, well beyond normal. Transition costs in both sides of the equation: the cost in manufacturing efficiency because you're ramping down, ramping up; but even more so, it costs you basically on pricing because you basically -- you have to discount the end of a line to create new space. So if there was one factor to highlight, I think it's the unusual amount of product transitions in Q3, which also is, by and large, behind us. There's some carryover in Q4, but it's, by and large, behind us.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Good. And I guess, is there a way for you to quantify a normal product transition in terms of drag so we can understand the impact on the third quarter?
Marc R. Bitzer: Ken, let me just maybe rephrase the answer like different. First of all, it has been unusually high, and it had a material impact. Having said that, let me ask the other way around -- or answer the other way around. The 11%, in our view, does not mark at all a ceiling of our North America margins.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Okay, great. I do appreciate your comments on the Hefei Sanyo. I think it's the first time you've talked about the earnings accretion. So the $0.80 to $0.90 that was discussed off of -- on your business, when it's fully integrated, I believe that -- and if you could clarify, I believe that it counts for roughly $0.50 of drag in 2014. So the guidance for Hefei Sanyo would be in the $0.30 to $0.40 range if that's true. And then second, because you now own it, can -- how should we think about the fourth quarter sales impact? You talked about a big drag in the third quarter and purchase accounting that's getting pushed below the line. How should we think about the operational EBIT that you're kind of guiding to?
Michael A. Todman: Okay. Well, Ken, first of all, I think your math is right. It was about $0.50 of drag. And then all we've done is add the $0.30 to $0.40 based on their performance this year, okay? So that really doesn't speak to what our expectations are moving forward. In terms of sales improvement in the fourth quarter, clearly, we expect to see a good increase in sales as we begin to floor the new product lines throughout distribution. I'm not going to give a specific guidance on the EBIT number. But yes, you're right, there will be a PPA adjustment, but all of that is factored into kind of our overall view and outlook.
Jeff M. Fettig: Ken, this is Jeff. And again, we'd like to be more -- we just closed Friday on Hefei and basically about 10 days ago on Indesit. We obviously know the business, we've modeled the businesses, so on and so forth. But I would just say there's a lot of moving parts at this point in time that -- everywhere from their run rates, our run rates and so on. They -- both businesses continue to perform in line with what they've seen, which are both publicly -- public information. There's just accounting activities that will be impacted. So our overall guidance at this point, as it relates to the fourth quarter, is largely negligible on the earnings side. It could be a little up, could be a little down. We don't really know right now. We do think, on the cash side, it will be marginally up. So I wouldn't worry so much about the fourth quarter. I think we'll get all that behind us. And then when we talk about next year, we can talk about how these pieces really -- what I would call the expanded Whirlpool will look like by region.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: And if I could just ask one more. Brazil, the outperformance given, I believe, investors' baseline, can you guys talk about having a record EBIT there? And I know that there were some doubters. Can you discuss why that was so strong? I mean, is it just that the pricing you were able to get really offset, obviously, cost-base inflation or currency inflation? But why are the margins -- was there something really unique in the quarter? Because it was a very strong performance, obviously, given the volume there. Just a little more clarity since that was one of the main concerns for investors.
Michael A. Todman: Yes, thanks. There wasn't, Ken, just to answer your question, anything particularly unique. We had -- we have 3 factors. One was the cost-base price increases, which I think I commented in the second quarter would begin to take full effect as we went throughout the year. Second is we've had and continued to have new products that we're introducing into the marketplace, and those products are -- that we introduced generally have a higher ASP and a higher margin associated with them. And then thirdly, that's also driven mix. So it's really all those 3 factors that have -- that drove the performance of Latin America.
Jeff M. Fettig: Yes, and Ken, I would just add, but it's pretty much in line with what we expected and we talked about in our Q2 call, that we were taking strong actions to offset inflation to deal with currency devaluation and so on. But to Mike's point, the other part was we've been investing very strongly in our product innovation and product leadership there. So a lot of these new products really have helped the mix, along with the price increase, and help us more than offset this down market.
Operator: We'll take our next question from David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: I guess I wanted to ask you just about the noncore business you like to talk about in the adjacencies business and just how that's setting up for the fourth quarter. I know it's a seasonal business. Fourth quarter is very important. How's your offering versus last year? Can you talk about any gains in listings? And how do you quantify that for us?
Jeff M. Fettig: Well, David, this is Jeff. Let me just talk globally. I mean, we've got, I mean, a number of things that are reflected in really regions around the world. But if I take our KitchenAid small and domestic appliance business globally, it's growing very nicely. I think you've seen a lot of the new product innovation, new launches that are going on right now. They're on a limited basis on distribution. But that business is going strong, going well. Our water business worldwide is good, very good in many parts of the world. Water/beverage, you saw the new B.Blend introduction in Brazil, which is a world's first beverage product, but that's just now starting up. So as I look at these businesses around the world, all continue to improve. We have some businesses growing double digit, some just starting up. You've probably seen our new SWASH launch here in -- starting in the United States that really started in September and started shipments in October. So we've got a combination of big businesses growing high single or double digits and a lot of new seeds that are just taking hold and beginning to grow. But in total, these businesses represent a little over 20% of our business. And as I've said before, they have significantly higher margins than what we call, if you will, our traditional core. So there -- I think we'll have a good fourth quarter.
David S. MacGregor - Longbow Research LLC: Good. A question on Latin America, just to follow up on the previous discussion. It seems like volumes are getting better, according to Michael's comments. And I guess the question is, in a scenario where volumes recover, can you continue to maintain the pricing? Or does competitive forces begin to erode that?
Michael A. Todman: Well, David, I won't comment specifically on that. I think what we've done is executed our plan. But what we're seeing in the market is what we expected. It's still a little volatile, but we're performing the way we expect with new products. And we're comfortable kind of where we are in terms of our execution of the prices.
Jeff M. Fettig: Yes, David, we talked about Brazil, but I'd say all of Latin America and, I'd say, other emerging markets like Russia, Turkey, India, et cetera, where we have a lot of dynamics going on at all times. We have rapid demand changes, rapid currency changes, high levels at times of inflation and so on and so forth. And what we feel good in our business is we've got very experienced leaders in each and every one of these markets. There's no one way to manage through this. You have to try to stay ahead of the change curve, and so far we've been doing a pretty good job at that this year. So Brazil, we're going to have -- despite the environment, we're going to have a record year in Brazil. The rest of Latin America, we were off to a slow start in the beginning, but we're tracking very well throughout Latin America. So it's not just one thing. It's managing all this volatility together. And fortunately, we have the size and scope of the business that we can lead these changes in the marketplace, and that's what we've been doing.
Operator: And we'll take our next question from Denise Chai with Bank of America.
Denise Chai - BofA Merrill Lynch, Research Division: Just want to ask first on guidance. You said that, in the fourth quarter, given the acquisitions, the impact from acquisitions could be up or it could be down. Does your guidance, which you've maintained at $11.50 to $12, include any impact from acquisitions?
Larry M. Venturelli: What we said, Denise, was the current ongoing guidance, we said that the acquisitions would be neutral to the earnings. And that's just obviously due to the fact that we haven't had the businesses for the full quarter. We haven't begun integrating the businesses, where we have some purchase accounting that we're factoring into the business, and then we're absorbing a little bit more interest. So net-net, essentially, it'll be neutral.
Denise Chai - BofA Merrill Lynch, Research Division: Okay. And then in terms of your -- the raise in your free cash flow guidance, how much of that can we attribute to Indesit?
Larry M. Venturelli: I would say the acquisitions in total -- and I would just take into consideration the fact that we have some higher acquisition-related costs, we're doing a little bit more restructuring. But in general, I'd say around in that $100 million range, combined acquisitions.
Denise Chai - BofA Merrill Lynch, Research Division: Okay. But that's -- okay. So in the slides, you said that Indesit was going to be a -- it would contribute positively to free cash flow.
Larry M. Venturelli: And we are. I'm saying combine the -- the combined businesses will contribute -- the acquired businesses will contribute about approximately $100 million.
Denise Chai - BofA Merrill Lynch, Research Division: Okay, okay. Got it. Could you talk a little bit about the change in working capital you saw this quarter? Was it really just related to new product transitions? Or was there something seasonal or perhaps related...
Larry M. Venturelli: Yes, I'd say our working capital year-over-year is up marginally, I think $35 million, $40 million on a year-over-year basis. Historically, what we do, you see, just due to seasonality of our business, working capital will come down in the fourth quarter. We'd estimate that to probably in the range of $700 million, and we'll generate essentially the remainder of the cash through cash earnings.
Operator: And we'll take our next question from Jay McCanless with Sterne Agee.
James McCanless - Sterne Agee & Leach Inc., Research Division: First question I had is on raw materials. Can you comment on what specific commodities caused the cost pressure this quarter? And am I reading the guidance correctly, that you expect some of that to abate in 4Q?
Jeff M. Fettig: Yes, yes, Jay, we've got a couple of things. One, in the currency markets, we've had raw material increases across the board all year. But -- and that would be Latin America and India and places like that. But as we highlighted before, we were particularly negatively impacted in some regional markets, and the -- but probably the biggest single one is steel in the U.S., which is higher than we expected, and everything else is pretty much as we expected. In terms of reductions, there's clearly been a big change in the external environment over the last 30 days, whether it be oil or input costs or base metals or so on, and we'll have to see what happens. I mean, we don't have a new forecast for the year, but clearly, the external environment, from just a pure raw materials cost, appears to be turning downward, which, if that holds, that ought to translate into lower material costs.
James McCanless - Sterne Agee & Leach Inc., Research Division: And then the second question I had was, looking at promotion, you guys said that you transitioned to the new lines. Looked like it was a drag on gross margin this quarter. That should be done with. How much are you thinking about increasing promotions or adding some SG&A to really push for the holiday season and push some of these new brands? And are you expecting the spend for that to be up on a year-over-year basis, assuming that you've got more product launches, et cetera? But on an apples-to-apples basis, do you expect the spend is going to be up for the promotional activities going into the holiday season?
Marc R. Bitzer: Jay, it's Marc Bitzer. Let me try to answer this one. As we indicated in earlier calls, we will not give forward-looking statements on promotional pricing strategies. However, let me just comment on Q3. And our past behavior in Q3, I want to underline, is consistent with our past behaviors in promotion. And I think we've got to differentiate between promotions on one side and product transitions on the other side. Promotions, we always said we will participate when we see a value-creation opportunity for us and the consumer, and that policy hasn't changed in Q3. What is different in Q3 is the unusual high amount of product transitions. And when you -- whenever you do product transitions, it's kind of a closeout, but you just -- you need to put certain investments in market in order to free up the space. And that has been higher than normal -- I mean, higher than a normal quarter in a normal year, but that is largely behind us.
Operator: And we'll take our next question from Michael Rehaut with JP Morgan.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: First question on -- just wanted to circle back to Latin America with the good performance there, the strong performance there. Just trying to get a sense for the ongoing timing with the cost-base price increases against currency and inflation. And given how currency has moved throughout the last 2, 3 months, just wanted to get a sense to your best estimate on the current level of profitability here, a little bit over 10%. Given where currency and perhaps also inflation has moved during the quarter, is this number sustainable near term? Or would there be additional actions required to allow this level to be maintained?
Michael A. Todman: Yes, I think, Michael, probably the best way to answer that question is kind of go back to the beginning of the year. When we saw what the environment was, we took appropriate actions. And I talked earlier in the year that we took some cost-base price increases. Actually, I think we took 2 price increases. But it's more than that. We're kind of looking at what's going on in the environment all the time. We're launching new products all the time. We're looking at how best we can manage our mix and improve our mix during the course of time. So I do think we are at margin levels that we can sustain. I mean, so that -- and I think we just do what we need to do in terms of what we execute in the market. There's nothing that we've seen that's unexpected, so we're basically operating in an environment that we expect and executing what we need to, to deliver at these operating margin levels.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: So in other words, Mike, given what we've seen over the last month or 2, you wouldn't expect to see an incremental negative impact on margins, all else equal?
Michael A. Todman: Well, I don't expect to see that, no.
Larry M. Venturelli: The only thing I would add, Michael, is the price increases were taken throughout the third quarter, and there will be additional benefit in the fourth quarter.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: That's helpful, Larry. And I guess just a second question. Going back to North America for a moment, I know there's been a few questions around that potential impact of the product transitions, and I guess we're not going to get necessarily a quantifiable answer. But just looking forward, certainly, it appears that you're saying that there would be some type of drag that would alleviate in the 4Q. And if you can't necessarily break that out from a numerical aspect, I was just thinking about longer term in this business, I think in general, perhaps you've talked about an incremental margin of 20%, 25% on a consolidated basis, and certainly that would apply to North America. Is that still the right way to think about this business as you grow it going forward?
Marc R. Bitzer: Michael, it's Marc Bitzer. Let me try to take a shot at your question. First of all, no, we're not going to quantify by expense transitions and what it means for Q4. But again, keep in mind there's 2 aspects to this one. We had, in Q3, inefficiencies on both the cost side and the pricing side. Going forward, first of all, that's going to be absent, largely. Second of all, of course, as we -- when we introduce a product like the new top-load washer, which we believe is absolutely industry leading, we also expect higher sales and higher margin realization, otherwise we wouldn't introduce new products. So we feel extremely confident about these new products that we're introducing. So that, on its own, should help us on posting even stronger margins going forward.
Operator: And we'll take our next question from Megan McGrath of MKM Partners LLC.
Megan McGrath - MKM Partners LLC, Research Division: Just wanted to switch to Asia a little bit. Your inventory reduction issues are happening at the same time where there's some concern over slowing growth. So do you have any sense, excluding the inventory pull-down, what the overall market for appliances is doing in China right now?
Michael A. Todman: Yes, the overall market in appliances was slightly down year-to-date, Megan, 1% to 2%. So it's not significant. And we expect that the market will be somewhere in that range through the course of the year.
Megan McGrath - MKM Partners LLC, Research Division: Okay, great. That's helpful. And then when I think about this, I know you'll give us more detail in mid-December, but if I think about that business moving forward, you just closed the acquisition, should we expect that you'll see a little bit more of that inventory pull-down this quarter? Or do you think that's pretty much 100% done?
Michael A. Todman: I think, Megan, that, that's pretty much done. As I mentioned, we are launching new products in the Whirlpool brand starting in November. So we've got to get those products floored. We've got to get the inventory out there. So I'm expecting to see some improvement as we move forward from now.
Operator: And we'll take our next question from Tom Mahoney with Cleveland Research.
Tom Mahoney: Tom on for Eric Bosshard today. I wanted to know that, as you look at Latin America and the units down there, it sounded like the market was maybe a little better than your unit shipments down there. What were the moving pieces within that in the quarter?
Michael A. Todman: Yes, Tom, we did lose a little bit of market share in the quarter, not unexpected. We expected it. Year-to-date, our share is flat, and we expect that we'll begin to recover that over the course of the remainder of the year. So we're actually feeling pretty good about where we're positioned.
Tom Mahoney: Okay. And then you talked about September -- or kind of exiting the third quarter down 7% year-over-year. What are you expecting for growth as you move kind of through 4Q and into 2015?
Michael A. Todman: Well, I'm not -- I won't give 2015 at this point, but we are expecting the market still to be down in the fourth quarter. And that still achieves the guidance that we get.
Operator: And we'll take our next question from Denise Chai with Bank of America.
Denise Chai - BofA Merrill Lynch, Research Division: Given that the China market's still a little bit on the soft side, could you comment please on your global compressor business and how that performed during the quarter?
Michael A. Todman: Yes, Denise. Our global compressor business, actually, our revenues were up in the third quarter despite the soft market. But if you remember, we're comping against a quarter where last year there was a port closure. So I would say, overall, if you normalize, the compressor sales are slightly down in total from an industry perspective.
Denise Chai - BofA Merrill Lynch, Research Division: Okay, okay. Just 2 more quick questions. Could you please give us the gross margin by region? And then just looking at your corporate cost line, so far this year, it's kind of been running at $47 million, $48 million a quarter. This quarter, it was only $36 million. Is this lower level sustainable? Or was there something one-off?
Larry M. Venturelli: I think we provide the operating profit by region. Well, the Q will be out later today, and I think you'll have that, Denise, so you can have -- take a look at that. And then your question was on corporate -- the corporate line?
Denise Chai - BofA Merrill Lynch, Research Division: Yes.
Larry M. Venturelli: Figure a couple hundred million dollars of what we call corporate administrative costs, and then you'll have $150 million in restructuring that goes into that line item.
Operator: And at this time, I'd like to turn the call back to our speakers for closing remarks.
Jeff M. Fettig: Well, listen, being no more questions, again, we appreciate your interest in this call. Again, we're really -- we're pleased so far with the performance we've delivered this year, and we look forward to updating you on our longer-term view of our business, as we mentioned, on December 17. Thank you very much.
Operator: This concludes today's program. You may disconnect at this time. Thank you, and have a great day.